Operator: Welcome to the Old National Bancorp Third Quarter 2014 Earnings Conference Call. This call is being recorded and has been made accessible to the public in accordance with SEC's Regulation FD. The call, along with the corresponding presentation slides, will be archived for 12 months on the Investor Relations page at oldnational.com. A replay of the call will also be available, beginning at 8:00 a.m. Central Time on October 28 through November the 10th. To access the replay, dial 1 (855) 859-2056, conference ID code 19288537. Those participating today will be analysts and members of the financial community. At this time, all participants are in a listen-only mode. Following management's prepared remarks, we will hold a question-and-answer session. At this time, the call will be turned over to Lynell Walton, for opening remarks. Ms. Walton?
Lynell Walton: Thank you, Holly, and good morning, everyone. Joining me today on Old National Bancorp's third quarter 2014 earnings conference call are Bob Jones; Chris Wolking; Daryl Moore; Jim Sandgren; Jim Ryan; and Joan Kissel. Some comments today may contain forward-looking statements that are subject to certain risks and uncertainties that could cause the company's actual future results to materially differ from those discussed. Please refer to the forward-looking statement disclosure contained on slide four, as well as our SEC filings for a full discussion of the company's risk factors. Additionally, as you review slide five, certain non-GAAP financial measures will be discussed on this conference call. References to non-GAAP measures are only provided to assist you in understanding Old National's results and performance trends, and should not be relied upon as a financial measure of actual results. Reconciliations for such non-GAAP measures are appropriately referenced and included within the presentation. I’ll begin analysis of our third quarter earnings on slide six, where you’ll find highlights of our performance as they relates to our 2014 initiatives, increasing core revenue, reducing operating expenses and transforming our franchise by moving into higher growth markets. With our focus on core revenue growth, I’m pleased to report our organic loan growth of almost $87 million or 6.5% on an annualized basis in the third quarter, which was spread across all loan categories. Year-over-year we experienced organic loan growth of $281 million. This growth is net of loan acquired through acquisitions and excludes the change in our covered loan portfolio. Perhaps equally important was the 9% increase in core revenue. Banking, Wealth Management and Insurance all contributed to the improvement over prior year. We continue our focus on controlling non-interest expenses, specifically, operational expenses, which increased just $0.6 million over the third quarter of 2013. We also remained keenly aware of our cost saves we announced with recent acquisitions. Looking at our Tower acquisition and our recently completed United acquisition, I’m pleased to report that expected cost saves are attracting with what we anticipated at each announcement dates. Consistent with our strategy of transforming our franchise has been moving into higher-growth markets. Our third quarter saw the successful closing and conversion of our United Bancorp acquisition, an entry into the Ann Arbor, Michigan market. We also gained regulatory and shareholder approvals for our acquisition of LSB Financial in Lafayette, Indiana and continued to be on track for November 1st closing. Also in the third quarter and actually combined with our second quarter earnings call, we announced our intent to acquire Founders Financial Corporation in Grand Rapids, Michigan. We were happy to announced in an 8-K just last Friday that we have received a necessary regulatory approvals on this transaction. Moving to slide seven, you’ll see we reported net income this morning of $29.1 million or $0.26 per share. This per share results represents nice increases over growth of second quarter of 2014 and the third quarter of 2013 earnings per share results. When analyzing our quarterly performance, it is important to note the three items listed on this slide, which impacted our third quarter earnings, and Chris, will provide more clarity on these items in his remarks. And for those, I’ll turn the call over to Chris.
Chris Wolking: Thanks, Lynell. The graph on slide nine shows our growth in income since we accelerated our strategy of adding growing dynamic markets back in 2011. We’ve talked over the last several quarters about the impact of accretion, FDIC indemnification asset expense and acquisition charges on our earnings, but have neglected to clearly show how our net income is benefited from the acquisitions, our operating expense control and good credit quality. As you can see from this chart, income adjusted for accretion income, acquisition charges and the change in the indemnification asset has increased steadily since 2011. Through the end of 2013, we have seen a compound annual growth rate of 14.3%. Year-to-date, adjusted income in 2014 also looks strong and it has been lifted by strong loan growth and our partnerships in Fort Wayne and Ann Arbor. Adjusted year-to-date income is up 7.6% compared to this period last year. We anticipated closings of Lafayette Savings Bank and Founders Bank we expect the trend in adjusted income to continue. Slide 10, shows the company's revenue performance in 2014. On this slide, I'd like you to focus on the dark blue segments in the stacked bar graphs. Revenue not including securities gains, accretion income or the impact of the FDICIA was $124.9 million, up 8.3% from last year and up 9% from third quarter 2013. We saw full quarters benefit from Tower Bank and two months from United Bank, plus strong loan growth in other regions in the third quarter. As Jim will discuss in more detail Insurance, Wealth Management and Investment Brokerage also performed well in the third quarter. Accretion income for the third quarter of 2014 was $34.3 million, compared to $17.6 million in the second quarter. The significant increase in accretion to the quarter was due largely to the successful resolution of two large Integra assets. Correspondingly, we saw a significant increase in FDIC indemnification asset amortization expense in the quarter. IA amortization expense was $19.1 million in the quarter, compared to $10.5 million last quarter. Our total remaining FDIC indemnification asset is $28 million as of September 30, 2014. We expect to amortize $13.4 million of this as expense, most of which should be amortized by September 30, 2016, when our commercial loss share coverage ends. Because we have only a few large covered assets remaining, we expect both the accretion income and IA expense related to Integra assets to be less volatile in future quarters. Slide 11 breaks down the components of our net interest margin for the quarter. Fully taxable equivalent net interest margin increased to 4.78% from 4.07% last quarter. Included in the third quarter is a full quarters accretion income from Tower Bancorp loans and a partial quarters accretion from United. The purchase accounting mark on the United loan book was 6.4% at closing, approximately equal to the mark on the Tower loan portfolio, but lower than the loan marks on our earlier acquisitions. Core margin was 3.32% in the margin, slightly higher than the 3.26% margin we expected, core margin benefited in the third quarter from the improved performance of loans that had been considered non-accrual loans. We expect core FTE margin will be lower in the fourth quarter due to the impact on wholesale funding costs of $175 million or 18% coupon 10-year senior debt we issued at a holding company in August. Additionally, we expect to continue to reduce the size and duration of our investment portfolio. However, margin pressure should be mitigated somewhat by continued growth in our loan portfolio. Slide 12 breaks down non-interest expense for the third quarter and compares expenses to second quarter 2014 and to the third quarter of last year. Total non-interest expenses increased due to acquisition charges and the operating expenses of Tower and United, excluding these costs, operating expenses increased in the third quarter to $90.3 million from $88.8 million last quarter and $89.7 million in the third quarter of last year. Before acquisitions in various stages of closing or integration in the third quarter, we incurred operating expenses that don't -- that we don't attribute to specific acquisition charge or operating costs of new units. Additionally, we incurred cost in the quarter to prepare for deep task and to analyze our markets and products that help us in our ongoing performance improvement work. Our reported GAAP efficiency for the third quarter was approximately 67.4%. Excluding our acquisition cost, the efficiency ratio was approximately 64.9%. We expect additional merger and acquisition costs in the fourth quarter in the range of $3.5 million to $4 million as we progressed through our United Bank integration and prepared for the closings and convergence of Lafayette Savings Bank and Founders Bank. Moving to slide 13. We provide further information on our sensitivity to rising interest rates. As you can see in the chart on the right side of the slide, our net interest income should increase over two years if rates increase immediately by 200 basis points along the entire yield curve or if rate increases the forward curve implies over the next two years. These models cannot reflect interest income from the accretion of purchase accounting lots. On the left hand of the slide, I’ve listed several important drivers for our net interest income models because over 64% of our balance sheet is funded by non-maturity core deposits, assumptions related to the interest rate sensitivity of these deposits or key to our rate sensitivity model results. In the model that evaluates the impact of rates if they rise immediately all along the curve by 200 basis points. The cost of our $5.1 billion of non-maturity interest-bearing accounts should increase from 8 basis points to 280 basis points. Additionally, 21.5% of our non-interest bearing deposits, which represents approximately $510 million of DDA are considered rate sensitive or volatile and would be replaced with market rate funding in our models. 46% of our commercial and commercial real estate loans contractually repriced within one year. Additionally, most of the remaining loans were considered contractually fixed rate of principal amortization during the term to generate cash flows that should also reprice in our rising rate models. We believe our models accurately represent our current sensitivity to interest rates. We expect to continue to increase our asset sensitivity by shortening the duration of our investment portfolio, lengthening the repricing of our funding when possible and selling most of our newly originated fixed rate residential mortgage production. Slide 14 shows our tangible book value per share from 2011 through third quarter 2014. Third quarter reflects the tangible book value per share after the closing of the acquisition of United and after our stock repurchases in the quarter. As you can see in the graph of tangible book value per shares in third quarter 2011, we have consistently recaptured tangible book value per share after each of our acquisition. Our final slide, slide 15 shows that our key capital ratios at 9/30/2014 are in line with our peers. Our strong capital base gives us significant flexibility to manage our capital depending on the outlook for acquisitions and organic growth. Given our current outlook for acquisitions and our ability to fund organic loan growth with investment portfolio cash flows, we've been able to return capital for our shareholders through stock buybacks. We repurchased 1 million shares in the third quarter and Old National Bank Board of Directors increased our buyback authorization at their meeting last week. You might recall that in January of this year, the Board authorized the 2 million share buyback. The new 6 million share authorization supersedes the January 2014 authorization and is in effect from now until the end of January 2016. I'll now turn the call over to Jim Sandgren.
Jim Sandgren: Thank you Chris and good morning everyone. If you listen to our earnings call last quarter, you may recall that my comments were largely focused on three areas, the strong organic loan growth we experienced in Q2, to create positive momentum in our commercial loan pipeline and line utilization and a continued success of our fee-based businesses, wealth management, brokerage and insurance. As we shift our attention to quarter three, I’m pleased to say -- excuse me, that my comments, they are going to sound very similar to those from three months ago. We continue to trend steadily upward in terms of organic loan growth, growth in our fee-based business and commercialize line utilization and we are seeing absolutely no signs of slowdown in our commercial loan pipelines. If you turn to slide 17, I’d like to focus on our loan growth excluding covered loans for the third quarter. Excuse me -- my remarks were focused specifically around end of period balances, however, we have also added average balance information on the slide. Similar to last quarter, we experienced meaningful loan growth with quarter-over-quarter and year-over-year which was driven by a combination of partnership activity and very solid organic growth. The graph on the top left quadrant illustrates quarter-over-quarter loan growth of 13.3% which was aided by $631 million in loans obtained through our United Bancorp acquisition along with meaningful organic growth of $86.9 million. This included increases of $56.1 million in indirect loans, $41.4 million in commercial and commercial real estate loans, and $9.3 million in home equity loans in QHRs. While we experienced commercial lending success throughout our footprint in Q3, I was particularly pleased by our results in Louisville, Evansville, Terre Haute and Michigan. The graph in the lower left illustrates a year-over-year gain of 26.2%, which included $631 million in loans acquired through our United partnership and $355 million from our Tower partnership. The $281.2 million we experienced in organic loan growth year-over-year was fueled by $168.7 million in indirect lending along with $74.5 million in commercial and commercial real estate loans and $37.9 million in home equity loans in QHRs. I believe this positive trend is reflective of slowly but steadily strengthening economy within our footprint and borrowers who continue to feel more confident and optimistic, leading to greater opportunities for our relationship managers. Moving to slide 18, you can see that we continue to build upon Q2 momentum in our commercial loan pipeline to $577 million in the pipeline at quarter end compared with $530 million at the end of Q2. I can also tell you that as of last Friday, our pipeline had expanded to $640 million which is the highest level we’ve seen since we’ve been tracking this metric. We also saw an increase over the second quarter in commercial line utilization. We were at 39.1% in Q3 compared to 36.6% in the second quarter. Part of the increase can be attributed to the fact that line utilization for our United Bank customers was over 52%. We anticipate that utilization for these customers specifically would drop overtime to more historical old national rates. This solid quarter-over-quarter increase is especially significant. We consider that 1% increase in line utilization equates to $13.6 million in additional outstandings. Similar to the organic loan growth, we continue to enjoy, I believe the positive momentum we are witnessing in our commercial loan pipeline in line utilization and be attributed to increased consumer confidence directly related to the improving economy. We believe this will continue to provide us with opportunities in all of our markets. And I’m more confident than at any time in my career that we have the right Q4 products in place to take full advantage of these opportunities. I’d like to now turn your attention to slide 19 which illustrates the continued positive momentum of our fee-based businesses. As I indicated to you last quarter, 2013 was an exceptionally strong year for us in insurance and a record-setting year for our wealth management and investment divisions. I’m pleased to report that our investments division buoyed by Tower Bank and United partnerships continues to slightly outpace the record results they experienced in 2013. I can tell you we believe the acquisition to Tower and United brought us more talent in the brokerage arena that we feel will enhance our production going forward. As you can also see, our insurance business is solidly ahead of the strong phase established a year ago driven by good growth and employee benefits and commercial line growth from the Evansville book acquired from Wells Fargo. We also believe we have opportunities to acquire new clients by focusing on a consultative approach to helping our customers and prospects deal with the Affordable Care Act. Our wealth management division also continued to raise the bar in Q3, led by strong growth in our legacy markets, specifically Evansville where we have enjoyed expansion of existing relationships and strong new business. I’d also like to note that we’ve seen excellent client retention in our Fort Wayne market along with new business that frankly has exceeded our estimates for year one. Much like the loan growth we have experienced in the quarter, I believe this revenue gains in our fee-based business continued to illustrate that we are executing our plan extremely effectively with strong leadership and experienced motivated producers in place throughout our footprint. I’d now like to turn the call over to Daryl Moore
Daryl Moore: Thank you, Jim. Slide 21 displays net charge-off and provision information for current quarter, the second quarter of 2014 as well as the third quarter of 2013. Consolidated net charge-offs in the quarter were roughly $500,000 or 3 basis points of average loans. Consolidated annualized net charge-offs for the nine months ended September 30th also stand at 3 basis points. Provision expense for the non-covered portfolio was $3 million in the quarter, meaningfully higher than the levels posted in the second quarter of this year as well as for the same period in 2013. On a consolidated basis, provision expense was $2.6 million. The higher level of provision expense in the quarter was driven in part from an increase in impairment on non-accrual credits but also by increased loan outstandings in the period. On a consolidated basis, the allowance for loan loss as a percent of end of period loans stood at 0.77%, but as importantly combined the allowance and ALLL mark as percent of total pre-mark loan outstandings stood at 2.97%. On slide 22, we show the trends in criticized and classified loans over the past year. We display not only information of the consolidated portfolio at specific quarters end, but also trends reflecting what the portfolio would look like exclusive of the effective, our two most recent partnerships of the Tower at Fort Wayne and United Bank, Ann Aarbor. As you can see on the upper left quadrant of our slide, our non-covered special mention loans increased significantly in the quarter even without the additions associated with the United portfolio. No single industry space was responsible for the increase, but we have noted some continuing softness at the contracted sector as well as weakness in not-for-profit segments reliant on government funding. Exclusive of the Tower and United portfolios, special mentioned loans increased $23 million in the quarter. Moving to the lower left quadrant, we see that even with the addition of the United portfolio, non-covered substandard accruing loans fell by $6.6 million to a level of $100.6 million. The decline came about through a number of different avenues, including paydowns, upgrades and some downgrades. Remaining chart on the slide shows that non-covered non-accrual loans increased $28.7 million in the quarter. $26.6 million of this increase came from the addition of the United portfolio, with the remaining amount of the increase coming as a result of the downgrades of a formerly acquired loan relationship during the period. The quarter continued to reflect relatively good credit metrics, especially as it relates to net losses. While non-covered special mention loans did rise significantly in the period, it may take a couple of additional quarters of results to determine if this is a beginning of a trend or just a short period operation. Competition for good quality loans continues to be very stiff. The proper structure of loans in the areas of the firm, guarantees, covenants remains a challenge in the current environment where everyone is looking for loan buy. With those comments, I will turn the call over to Bob for concluding remarks.
Bob Jones: Great. Thank you, Daryl. We’ll begin my remarks by reviewing a new slide we developed on page 24. These graphs serve us a good recap of the fundamentals that Chris, Jim and Daryl reviewed in their presentations. These are the key measurements that we focus on in terms of measuring the progress for basic bank strategy. We believe these graphs show the progress we have made in executing our strategy and the transformation of our franchise into better market, as well as the opportunities for improvements that will come as a result of a stronger focus on execution. Now, I will open the call with review of our key focus areas for 2014. They were to grow to our core revenue, continued to focus on expense base and a continued transform of our franchise by entering into higher growth markets through mergers and acquisitions. As the first graph shows, core revenue third quarter of 2014 over 2013 grew 9%, driven in large part by loan growth and a stronger performance in our fee-based businesses. But we believe this graph is also an affirmation of the strength of our new markets. At the same time, the second graph shows a continuing opportunity for us. Our core expenses were up slightly, approximately 7 basis points and while a majority of that cost increase was driven by the increased cost of compliance and overall salary increases, we have admittedly not done as well as I would've liked. In large part, this is a result of the amount of time we have spent, ensuring the successful integration of our partnerships. Clearly, we still have an opportunity to reduced costs as a key lever to continue improvement in our overall profitability. Our adjusted income shows an approximate 24% increase for the third quarter of 2014 versus the third quarter of 2013, which I believe is again a good indication that our strategy is working and our continued focus on execution should allow for continued improvement in our performance. As Jim Sandgren noted, we continued to see good growth in loans and at the same time, we’ve seen a continuation of very strong credit metrics. This is truly a balancing act trying to find the right mix of incremental risk and growth. The task is even more difficult in our new markets where we had a third dimension around client retention and are trying to be too heavy-handed in driving our credit culture. Daryl and his team do a very good job of achieving this, but we are constantly striving to find this terribly important balance. Turning to slide 25, I thought I would give you a brief update on our performance in our new markets. Overall, we continue to be very pleased with where we are in each market. At the same time, we are continuing on how to do a better job of implementing and listening to our clients and our associates. In Columbus, we‘ve reached the point of stability. We experienced 3% loan growth over last quarter, driven mostly by C&I loan. Our consumer deposits have also stabilized and we are seeing new account growth. The decline of our core deposits was driven mostly by a reduction in business deposits, which we view as another positive indicator of an improving economy. The loan pipelines were down slightly but that is mostly driven by very strong closings late in the second quarter. Our Michigan, Northern Indiana branch acquisition is doing very well. We saw strong loan growth of almost 28% over last quarter, driven in large part by our consumer lending activities. We are also seeing very good commercial activity in the loan pipeline of over $30 million. The deposit story in these markets is much as same as in Columbus, stable accounts but the client balances seem more seasonal and business related. We are very pleased with our performance in Fort Wayne. Our lending team is fully staffed and is actively engaged in client retention and prospects. The loan pipeline of over $40 million reflects their activity and their hard work. While we do show a slight decline in outstandings, a large portion of this, almost $10 million was driven by one syndicated credit where the lead bank consolidated the number of participants by reducing the pricing on the credits. While, we continue to see some pressure on our lending, it has reached the stage of normalcy and we are very optimistic going forward. Deposit story is the same here, but we have seen some account attrition based on pricing and fee changes. It is early into our partnership in Ann Arbor and we're off to a great start, fully operationally integrated. And although we are experiencing the normal challenges of our new fee structures, credit and overall changes, our leadership team led by Todd Clark is doing an outstanding job of working with clients and providing us with feedback and how we can improve our support of him and his team. We did experienced some attrition in our wealth management team, a very good investment wrap being the biggest loss. While we had a good size book and we do expect to lose the majority of that book, the margins were very small and we see little impact on our overall profitability. The other losses were in our Trust group and so far we've been able to retain the vast majority of their business. While old and important piece of the overall market, we do not view this loss as significant. We have lost one commercial RM today. We feel comfortable we will be able to manage the balance of the portfolio. As Lynell mentioned in her opening comments, we will close the Lafayette Savings Bank, November 1st and we feel very good about where we are in the process. Last Thursday, we did receive approval from our regulators for our partnership with Founders in Grand Rapids. We are well-positioned with project teams in place. We feel we are off to a very good start. Laurie Beard and Greg Conway are providing excellent leadership and their teams are in good place, and we have not experienced any loss of count in that market. Slide 26 provides you with a little color on the economy from our clients' point of view. Overall what we hear from our clients is the positive picture, one that shows a continue increase in level of optimism and a focus on growth. I recently spoke with an automotive supplier in Michigan, who was predicting their best year since the crisis, and this is a story that has been reflected across our footprint. A large percentage of our clients are showing as plans and projections that are focused on growth and expansion rather than the status quo. In fact, the biggest issue that we hear from clients is the fact that it is very difficult to find employees, an issue in almost all of our markets. The banking competitive environment is still hyper, not much has changed since last quarter, nor do we expect any change any time soon. I will note that regulators are hearing some concern about issues related to structure within the banking industry overall and we are seeing some of what they are concerned about in some of our markets and we are very conscious of these issues and we will not sacrifice quality for growth. But as I have said before, it is a difficult task to strike the right balance between risk and reward, but I feel very good about how Daryl manages that process. I will close on slide 27 with a quick look forward to 2015. For Old National, 2015 is all about executing our basic bank strategy. In 2014, we were very engaged in assuring that we properly integrate our partnerships and that those partnerships lived up to the expectations that we laid out for our investors. We also realized that we invested our owners capital in the Transform Your Franchise consistent with the strategy we laid our over six years ago. We do know that there is an expectation that we now focus on execution and I believe we are as well positioned to do that today than anytime in my tenure with the company. We believe we are in the right markets. We have the right people and the right products to accomplish our growth strategies. The major shift in our 2015 strategy will be in the area of M&A. While we are not completely out of the business, we do believe we are in the markets we want to be in and we are very fortunate to find the partners that were at the top of our list. We believe we can be much more opportunistic in our activities and not divert attention and manpower away from our executional abilities. The analogy that I have used with our Board is that we have built a foundation of our house and yes we may remodel it a little within the foundation, but we are very comfortable with how our house looks. We look forward to a year of hopefully exceeding the expectations that our investors have set for us. And with that, Holly, we would like to open the line up for questions.
Operator: (Operator Instructions) And our first question will come from the line of Scott Siefers with Sandler O'Neill.
Scott Siefers - Sandler O'Neill: Got it. Good morning, guys.
Bob Jones: Scott, make sure you’re consistent about getting first in line.
Scott Siefers - Sandler O'Neill: I will try. Hope you guys are doing well. See first question I had. Bob, you had made in sort of toward the beginning of your prepared remarks the comment about not having done as good a job as you might have hoped on the cost side. And I think it’s sort of segued into how finish things with 2000 being about execution. And what would you do as you look over sort of say the course of the next year? Some people have kind of gone back in addition to cost savings say far from deals, just done kind of a more of a holistic look at the cost structure of the organization. So I guess what I am asking is, broadly speaking now that for the moment we’ve got kind of a pause on M&A once we complete the pending deal, what are you going to be doing that’s little different on the cost side, or what opportunity…?
Bob Jones: Well, I think it’s really Scott great question. I think it’s really an energy level around looking at every opportunity we have to be more efficient. And as everyone knows, we have often said that for us cost efficiency is not about kind of paper clips or duct taping rips and carpeting, it’s about how can we change the way we do business to make it better for our associates and our clients to interact with our company. Its things like looking in our backroom operations how we clear checks. It’s looking in our franchises here that we are in the right markets in terms of where our branches are. It’s really all the above. And I think what’s taking the energy that we’ve had and integration and putting it towards our ability to really focus on improving our overall bottomline performance, I think it gets the right focus. I will say while there is a pause on M&A just to assure everybody that we understand that we’ve used our capital and we want to be focused on those integrations. So for us, it’s about that execution.
Scott Siefers - Sandler O'Neill: Okay, perfect. Thank you. And then I was hoping you could expand a little on your comments on loan growth. And just maybe qualitatively if you could speak, one, you’ve had the favorable shift in dynamic from kind of slower toward better growth markets. And two, it sounds like it’s definitely more optimistic tone from your customers. And then maybe the third part of the story is, just as you look over kind of the last year and certainly even a little farther back, I know one of the, it sound odd, about to call it a criticism was that you maybe weren’t taking enough risk in looking at the overall loan portfolio. If you guys sort of changed the way you’re looking at risk tolerances and what you’re willing to accept. Or I guess as what I am asking is among all the pieces of the loan growth components, how would you characterize just general market sentiment, the better market, et cetera?
Bob Jones: Yeah. Not to air dirty laundry on the phone, but I think one of the biggest benefits that we’ve got is, I think the level of cooperation between Jim Sandgren and the Banking Group and our credit team is at a level I have never seen. So the fact that Jim grew up in the credit side and understands what we need in terms of maintaining our credit portfolio helps a lot and just the spirit of cooperation Scott has been exponentially raised. I think that -- I think a lot of it goes to what Jim has brought in, anytime you bring in a new leader you got to get kind of a new focus, and I think Jim has really taken us from an inward focus to an external focus and done a great job. It’s a balancing act in terms of risk. Daryl, everyday we had these conversations on credit. We’ve taken a right amount of risk, although not enough risk as you look at the competitor structure. But I think what helps us is our model allows for conversation at multiple levels to make sure that we are ultimately doing what’s right for the shareholder. And I think that as I said in my remarks and Daryl was as optimistic as Daryl can get in his remarks, I think we do find a pretty good balance, but we also understand that structure if you get away with it and you get too far from what your core is, it’s awfully hard to put that ketchup back in a bottle. So yes, we have taken more risk a little bit. I wouldn’t say it’s extraordinarily -- if you talk to the field, they will say we’ve not taken enough. If you talk to Daryl, we are taking too much. So probably taking a right amount of risk, but I don’t feel and I think Daryl would attest I don’t think we are taking any risk that is presenting any angst or concern. Again, I look at our charge-offs and delinquencies and they are still very strong. Daryl, do you have anything?
Daryl Moore: No, I think that’s all.
Bob Jones: Review time for Daryl.
Scott Siefers - Sandler O'Neill: All right. That’s perfect. I appreciate the color.
Bob Jones: Great. Thanks, Scott.
Operator: And your next question will come from the line of Emlen Harmon with Jefferies.
Bob Jones: Good morning, Emlen.
Emlen Harmon - Jefferies: Hey, good morning. I tried to be Scott there, but I wasn’t quick enough apparently.
Bob Jones: It is next to impossible. I think Scott has some automative thing that you saw so he gets number one in the call. (Indiscernible) to get you first.
Emlen Harmon - Jefferies: So guys with the new buyback plan instituted or upsized I should say, can you talk a little bit about where the buyback ranks in your capital deployment opportunities? And you guys have obviously been conservative on that historically given the acquisition opportunities you had, but you have a strategy, just, in terms of how quickly you’d like to deploy that whether its kind of steady over the course of next couple of years frontloaded, opportunistic, just be curious on your philosophy there?
Bob Jones: Yeah. Great question. And, obviously, given the change and focus for ’15, our absolute desire to use of capital was organic growth. I think, as Jim said and you look at our pipeline, where it’s at and just kind of the energy level we’re seeing. It’s clearly a major shift and kind of focus. But I think, you just think as a buyback. It’s really a steady. We view it as a good way to send an indicator to the markets that I believe that we are well-capitalized and of just as important the commitments to returning to our shareholders give confidence, they’ve given us to allow us to do M&A. But it will be, over the period of time, the opportunity present itself, we will continue to execute buyback, but again, if you think about fourth quarters, it’s pretty steady over that timeframe.
Emlen Harmon - Jefferies: Got it. Okay. Thanks. And then, Chris, in your comments, I saw that, I heard you say you expected the core FTE NIM to be down next quarter. Would you be curious, if you can give us a sense of where you expect the NII to grow? Given you said, you are expecting some securities to run-off, but obviously, there is the balance of the NIM and the sub-debt, but then also kind of that the loan growth outlook that we just heard a bit about?
Chris Wolking: Yeah. I don’t have any numbers for you on the net interest and income. I think, I prefer to concentrate on the margin for the purposes of this call. And I think, just with what we’ve done, certainly on that, with the fixed rate, that deal we did in August and the fact that I continue to expect to see accretion down and all the other noise it’s associated with the net interest margin. But what I like to see is continued cash flows from the investment portfolio going into the loan growth, which should help us a little bit too. So that we expect the 3.26% in the third quarter, that we had 3.32%. I’d expect that the fourth quarter will be in that 3.26% frame.
Emlen Harmon - Jefferies: Got it.
Bob Jones: Okay. And the biggest down draft on our margin will be really through the debt offering and then, I believe that shrinking the duration of the investment portfolio is the proper thing to do. I think, as we look at loan pricing, we’re pretty comfortable how we are pricing credits today. So, I think, the pressure will come from those non-core areas.
Emlen Harmon - Jefferies: Got it. All right. Thank you.
Operator: And your next question will come from the line of Michael Perito with KBW.
Bob Jones: Good morning, Michael. How are you doing?
Michael Perito - KBW: Good morning, guys. How is everybody?
Bob Jones: Great.
Michael Perito - KBW: Quick question for, Daryl, I appreciate the color on the credits and the UBMI contribution in the higher NPL balances this quarter. When I looked last quarter, the NPLs have gone up a couple quarters in a row here and I know last quarter you guys have Tower closed? But it seems ex that they were up a little bit organically last quarter as well? You said there is no category, I guess, where this is concentrated? But do you guys, are you finding that the NPLs are being originated in your newer markets or are they spread between your legacy and newer market?
Daryl Moore: Yeah. I don’t have that information in front of me. I would say, generally, they are out of our recently acquired, so I would say, your Monroe and those. But there are some that are out of the legacy and as we look at those, we don’t see a mass number of those moving, I think over the past couple of quarters, we’ve seen for our size relatively larger credits. But Michael may answer your question, I guess, in short. It’s probably over both legacy and the acquired portfolios.
Michael Perito - KBW: Okay. I guess, sorry.
Daryl Moore: Slide 22, you’ll see that absent the acquired banks, yeah, we are relatively flat rather than the special mentioned loan. So, I think, that kind of gives you a sense that they’re coming from the new markets.
Michael Perito - KBW: Okay. Yeah. And I guess, I just kind of answer the question another way. Should we -- as you guys have repositioned your franchise into the higher growth markets? Should we be assuming that as of result of that that your credit cost will be modestly higher than they have been historically when you were in the slower growth markets?
Daryl Moore: I would say, I wouldn’t, I think, I made the comment on my call that the third dimension that we have whenever we enter new market is to properly impart our credit culture and we actually begin that very early on and any conversations we have with potential partner banks because we have historically, at least, in my tenure have been very conservative on credit. And as Bob said, you keep -- you feel nice group of bank in the couple ways. It’s really the credit it’s the biggest issue and we’re not (indiscernible) too quickly.
Michael Perito - KBW: Okay.
Daryl Moore: But we take on some incremental risk, yes, but I don’t see it’s ever getting to a point where it’s uncomfortable.
Michael Perito - KBW: All right. Thanks. And then just a quick follow-up for, Chris, do you have the dollar amount left on the remaining accretion for the Integra deal?
Chris Wolking: Yeah. It’s right at the $28 million and I believe about half of which we’d expect to amortize, I think, $13, $13.5 and the other half would be collected from the FDIC, assuming all the credits work out as we currently have modeled pretty small.
Michael Perito - KBW: Okay. All right. Thanks a lot.
Chris Wolking: Oh! I’m sorry. I’m sorry, Michael…
Bob Jones: Michael, that’s a good, that was actually the indemnification asset…
Chris Wolking: Indemnification asset.
Bob Jones: … there is quarter lag between that and accretion, but it’s awfully hard to predict accretion…
Chris Wolking: Yeah.
Bob Jones: .. as we took as per related. But we’ve got about $28 million of the indemnification asset left that we’ll amortize, we’ll steady it out for us.
Chris Wolking: And I do not have the accretion information in front of me.
Bob Jones: It’s actually -- it’s tough to predict accretion because it’s so cash flow driven.
Michael Perito - KBW: Okay. So, I guess, how should we be thinking about, I mean, you gave us the core margin guidance. How should we be thinking about the reported margin though, I guess, near-term? I know you said it would be less volatile, does that mean a number closer to last quarter or is that mean even down further from there?
Chris Wolking: It’s really tough to do on a modeling basis, but I think, last quarter maybe more typical than this quarter.
Michael Perito - KBW: Okay.
Chris Wolking: This quarter we, obviously, did two large and we do not have a lot of these large numbers. And if you look at our modeling, I would say that, we predict the useful life of our accretion about 18 to 24 months. So modeling if you take Monroe, for instead, it’s pretty well done and if you look at any dates of our acquisition and you go 18 to 24 months, you’ll get steady state. But the great volatility is really over given the fact that we’ve seen the Integra pretty much work its way doing the larger assets. So, I think, the last quarter maybe a more typical as we low on. And just to know that both UBT and Tower, the actual market we brought on, about half of what we publicly announced when we did the transaction both in the 6% range, so again, less volatility.
Bob Jones: Yeah. And we’ve got LSB coming on this quarter, which will introduce some more mark into the net interest margin and then FSB shortly after that. So it’s really, really hard to break that all out. But we do try to do a really good job just quarterly reporting the components of that margin that or the components of that accretion as well as margin.
Michael Perito - KBW: No. Definitely. And I appreciate that.
Bob Jones: I hope that helps, because we know it’s confusing.
Michael Perito - KBW: Yeah. I know, it helps, no issue.
Bob Jones: We all bought execution.
Chris Wolking: Yeah.
Michael Perito - KBW: Yeah. Thanks a lot for all the color guys.
Bob Jones: Thanks, Michael.
Operator: And your next question will come from the line of Stephen Geyen with D.A. Davidson.
Bob Jones: Good morning, Stephen.
Stephen Geyen - D.A. Davidson: Hey. Good morning. Bob, maybe question for you on the efficiency ratio. In the report or in the presentation, I think, the third quarter ’14 core efficiency was 64.89%, I can’t remember the page, it’s on maybe page 12.
Bob Jones: Okay.
Stephen Geyen - D.A. Davidson: Any color or thoughts you can give us on maybe directionally where that might look like in 2015?
Bob Jones: Too early to give you a specific number because, obviously, as you all know, we will -- while you don’t know, we will continue to have that part of our incentive comp in 2015, we‘re working with both our comp and finance committee to finalize that number. But I would answer it this way and add further, I would be disappointed that if it’s much higher than that range of the $64.5 billion to $65 billion. I think that as we execute and go forward, we need to be in that range. So, obviously, anything tied to our compensation, will be started by our Board and whether they’ve a stretched target or not, we will find out. But still I think for us in ’15, is a ceiling. I think, $64.5 billion to $65 billion is clearly where my ceiling is at.
Stephen Geyen - D.A. Davidson: Okay. That sounds good. And another question on the -- on page six, Daryl you talked about cost saves. I was kind of curious, are conversion costs some of the biggest cost saves associated with the acquisition? And kind of the remaining cost saves from some of these acquisitions that were just recently completed, or is there anything to be expected that will be lumpy, is our cost saves or it is kind of a….?
Bob Jones: We are trying to give most of this out pretty much and provide as we can, just because once we close and convert, a large portion of all those costs come out, so shouldn’t be any lumpiness that’s converted. Obviously with -- LSB will close on November first, our conversion is now scheduled for late, first, early second quarter and that’s when you will start to see those cost saves come out, but we’ve got them down to a finite sheet and we know where they are and we hold our people accountable to get those and pretty straight stake.
Stephen Geyen - D.A. Davidson: Okay. And a question for Jim, you talked about the pipeline in and being up even a little bit more versus the end of the quarter. Can you talk a about the success that pull through?
Jim Ryan: Yeah. Success, I think has gotten better. The majority of our pipeline, some of the growth we’ve seen likely is big in the discussion phase and they are typically four deals to get put on the pipeline. We need to have at least a 50-50 shot of business deals done. I’d say our pull through rate is improving. I don’t have that exact number for you. But I think with the work of Daryl and his team and our experienced RMs, I think will find the ways to get deals done at a little bit higher rates. But I don’t have that specific number.
Stephen Geyen - D.A. Davidson: Okay. Great. Thanks for your time.
Jim Ryan: Great. Thanks, Stephen.
Operator: And your next question will come from the line of John Moran with Macquarie.
Bob Jones: Good morning, John.
John Moran - Macquarie: Hey, how’s it going?
Bob Jones: Good. How are you doing?
John Moran - Macquarie: Doing pretty good. Couples of kind of housekeeping or tic-tac questions for you. One, Chris, you mentioned I think that non-accruals coming back in had helped margins a little bit this quarter, do you want to talk about that?
Bob Jones: I don’t have this specific information in front of me. But it was enough to move around little bit. I think as I’ve mentioned that I think last quarter, we talked about a 326-ish margin outlook for third quarter. We were up at 332. And I think a large portion of that was due to better performance, better than we anticipated on some non-accrual assets.
John Moran - Macquarie: Okay. So fair to say it was most of that. Okay. Got it. So most of the 6 basis points would be….
Bob Jones: I think so. I don’t have the exact numbers in front of me. But I think that 326 was a number that we liked for the third quarter and as we see the debt coming on and some of those things, it feels like a better number for the fourth quarter.
John Moran - Macquarie: Got it. And then so -- yeah, so fourth quarter even with the debt, we would be expected to stay kind of stable as we adjusted for it.
Bob Jones: It was down a little bit from where I think that a lot of it depends on where we get the loan growth that we had expected and we’ve seen a couple of nice quarters in a row. It does an awful lot when you can pull cash flows out of the investment portfolios. Call it, 1, 1.5 into something that’s a little more meaningful?
John Moran - Macquarie: Sure. That clearly helps. The other kind of housekeeping one that I had for you was just tax rate. It’s being sort of bouncing around a bunch. Do you have a full year outlook that’s pretty firm at this point?
Chris Wolking: Yeah. We’re always ready for this question now. But probably full year GAAP number to be in that 27.5 range, fully tax equivalent, tax rate maybe a little higher in that 35.4. This year we did see the adjustment to the state tax rate due to some DTA revaluation. And of course, this year we’ve had some non-deductible acquisition-related charges that we’d like to have taken care of in 2014 and not have to take that in 2015.
Bob Jones: I think as you remember John maybe and also lower their corporate tax rates which we are going to take a large charge rebalance and then obviously will be the benefit that overtime.
John Moran - Macquarie: And then just two real quick ones on kind of one recent M&A transaction and then one pending. United, I think you mentioned that the utilization there was over 50% and that you expect it to drop overtime. And I was just kind of curious why was the utilization running as high as it was at that institution and then that sort of leads to why would you expect it to revert down into the kind of 30s or -- high 30s, low 40s?
Bob Jones: I think it’s a process point, John, where they will probably add little more permanent working capital in their lines and we will look to maybe move that to more term facility to probably align it with the cash flow of the clients. So we are working with [Todd] (ph) and his team and [Dave Scott] (ph) to do that. It’s different philosophies and obviously that’s kind of a balancing act that when we come and say that if it’s permanent working capital we think should be term versus fully Evergreen as we would talk and align. I don’t think there is anything there that would give any for shot and the other partnerships on a go forward basis.
John Moran - Macquarie: I got it, okay. That’s helpful. And then the last one out of me, the Founders transaction with the approvals in-hand, I think last call -- the timing on this one you guys had said sometime in the first half of '15 with everything kind of lined up in terms of regulatory approval at this point. Can you narrow that at all? Is it fair to think that that’s come in first quarter?
Bob Jones: Yeah. It could, but I have to shoot you if I told you, so no. We actually are working with Laurie Beard and Greg Conway and their team. I think the good news is we’re very, very pleased to give regulatory approval as quickly as we did. And then I want to work with Laurie and Greg and their Board and their Counsel to see what the proper time to close. We will work through that. So I would anticipate early first quarter would be ideally for us, but again we’ve got to work with Laurie I think.
John Moran - Macquarie: Perfect. Thanks very much for taking the questions guys.
Bob Jones: Thanks. Have a great day.
Operator: And your next question will come from the line of Taylor Brodarick with Guggenheim Securities.
Bob Jones: Good morning, Taylor. How are you?
Taylor Brodarick - Guggenheim Securities: Great. Good morning, everybody. I guess first question for Jim Sandgren on slide 19 is kind of looking at the contribution from United. Is there an opportunity on the insurance side? And I just sort of curious generally on this fee based business, how…?
Bob Jones: Taylor, if you don’t mind, it’s Bob. I might take those. This was actually reported in May, but Jim reports on because you guys get tired to hear from me. So I just dominate Q&A. So we have a real opportunity in Michigan for our insurance franchise. We are actively looking at opportunities to either look at producers or potential other partnerships in the market. But we’ve had great receptivity from our folks in the market and I am actually leaving this afternoon and go to an all-hands meeting with the Insurance Group and that part of that mission is to say we got great opportunities in Michigan. And I think for the other non-fee based business as well, obviously Founders has got a huge platform there, a large platform and WBT. So I think where our opportunity is is in the Kalamazoo market and those areas. But we think we’ve got good opportunities. Obviously, the Tower we had a great team there and we’re actually seeing new opportunities and new sales. So I’m very encouraged by those. The other side of it is our investment business. We just hired a regional sales manager for the investment group, a long history of experience and actually a former Old Kent person. We like former Old Kent folks. And so we’ve got opportunities to add investment reps in both Kalamazoo up in Founders, Founders did not have investment reps, and then obviously expanding continuing in Harbor so. And none of that is you all know is built into our models as we talk about these partnerships, but early on we are very excited about these opportunities.
Taylor Brodarick - Guggenheim Securities: Thanks, Bob. And then I guess one other kind of question was as we talk about expenses, do you find you run into difficulties? And if you’re trying to reposition from the -- I guess the less bank, more world markets just from regulatory side. Were there some hang-ups there as you try to reposition that footprint?
Bob Jones: You know not really. We, Kathy Schoettlin and Gary Ronan, our team, do such a good job on community development and presenting opportunities for the under-banked and un-banked. It’s really one of our strengths. So we have issues there is that we really didn’t have the right product to serve kind of the middle market client. And I think Jim Sandgren very quickly in his leadership developed a new product. And in November, we will roll out a product that really helps us to, we think negate some of the attrition we’ve seen based on not having free checking. But it’s the product, it gives more opportunities the way fees based on relationships. It’s really the way we should have gone.
Taylor Brodarick - Guggenheim Securities: Thank. And just one last one for me. So 3.5 to 4 acquisition in 4Q, anything in 1Q or just an update on that, just for people interested on the reported side?
Bob Jones: Well -- lot of it depends on how much we can take care of it in the fourth quarter and how quickly these closings come around. But there is going to be obviously some as we work through the conversions in the first half of next year on the C&I’s action.
Chris Wolking: I think as you look at the amount for the fourth quarter if we close Founders in let’s say I think we’re modeling, I’d say some where in that same range of three to five. It’s not abnormal because if we close after the end of the year then we are going to have to take those charges in the first quarter.
Bob Jones: First quarter, correct.
Taylor Brodarick - Guggenheim Securities: That’s fair, okay. Great. Thank you. That’s it for me.
Bob Jones: Thank you.
Operator: And the next question will come from the line of Peyton Green with Sterne Agee.
Peyton Green - Sterne Agee: Yes. Sorry, if I missed this but I was just wondering if you could may be mention if you do get the Founders’ acquisition closed in early 1Q when could you convert it?
Bob Jones: I would say if we -- well probably the second quarter or so of the ‘15. Again I’ve got to work with Lori and her team as they are prepared. We’ve got our project teams in place. But once we have that information we will get it out to you. We were very pleasantly surprised to hear that we got our approvals quickly as we did. So nice formed averages, grab money to catch up a little bit but that’s in the opposite side.
Peyton Green - Sterne Agee: Okay. No, no absolutely it’s definitely the right problem to have. Chris, in terms of marginal loan yields and may be yield on the securities cash flow, where do you see those coming in -- where did they come into the third quarter and what would be your expectation in the fourth quarter?
Chris Wolking: I don’t have the loan yields in front of me but I can tell you that the investment portfolio of cash flows are generally very low with the way we build that portfolio. I get a lot of short-term stuff so the reinvestment opportunities in the portfolio are 1.5% to 1%. I don’t have any information on the marginal loan yields in front of me, Peyton, I am sorry.
Peyton Green - Sterne Agee: Okay. All right. Thank you very much. That’s my questions.
Chris Wolking: Great. Thanks Peyton.
Operator: And your next question will come from the line of Jon Arfstrom with RBC Capital Market.
Bob Jones: (Indiscernible) I thought maybe you’d fallen asleep?
Jon Arfstrom - RBC Capital Markets: No, no. I was just reading the box (indiscernible) down in the queue. I am sorry about that.
Bob Jones: I was worried.
Jon Arfstrom - RBC Capital Markets: It was bad. Couple of things, Chris, just I want to make sure I understand what you are saying on the indemnification assets. You are saying that last couple quarters were greatly accelerated and this is going to be much, much smaller going forward. And I know something we usually curb up but just probably understand that?
Chris Wolking: Yeah it should be. I’d expect so much of that is driven by the size of the individual assets that we heal, if you will. And we just don’t have many large Integra assets left in that book. So I’d expect that the remaining IA will be smooth, pretty smooth going forward. But you just never know, as so much has driven at this late stage of the IA coverage by how we do on individual assets. And that’s I think why you’d seen it grow so much this quarter but -- or this year but the fact that we only have $28 million left, just kind of pretends this is a nice number.
Bob Jones: Jon, the majority of that has amortized by 2016.
Jon Arfstrom - RBC Capital Markets: Right.
Bob Jones: Because you have five years on the commercial and 10 on the consumer and there wasn’t much for consumer book there.
Jon Arfstrom - RBC Capital Markets: Okay. And that I guess, it kind of gets back to the Integra accretion numbers well, so that just correspondingly drops down but may be a little bit favorable all in, okay?
Chris Wolking: Exactly. Well they look favorable but not nearly as lumpy to use it on potential term.
Bob Jones: This was a great quarter.
Jon Arfstrom - RBC Capital Markets: Yeah. Okay. Terms of the Fort Wayne pipeline, the commercial pipe line, is that growing, you gave us the absolute number but is that going to grow?
Chris Wolking: Yeah. That was actually up almost 50% over the last quarter. And we‘ve got some really nice larger opportunities. So real advantages that you gave when you go on to the market like Fort Wayne as if we have a larger capacity on their balance sheet. And given the quality of the team that we hired, if you remember, a lot of those folks came from Wells and other banks where there used to deal in more on the traditional middle markets. So we are getting better at that at larger companies. So I am optimistic that -- that pipeline will continue to grow. Also -- we added a Director from Fort Wayne or a corporate board that I think knows every human being is in Allen county. And he has been better great asset and we will soon announce another hire that, Kathy Callen -- announcing right now by the way. Kathy’s father, if everybody has been around our banking for a while is Dick Doermer. Dick Doermer is kind of the godfather of Fort Wayne in banking. And Kathy is going to join us being working at one of those teams in terms of giving us our community engagements so really good about where we are at Fort Wayne.
Jon Arfstrom - RBC Capital Markets: Okay. Good, good. Just two more things, the organic -- on slide 24, you have the organic loan growth average versus period end. It’s probably a simple question but there are differences the last two quarters, it’s just an easy explanation to say any in the average growth was much higher than period end?
Bob Jones: Yeah. It’s really timing, the beauty of Jim Sandgren’s management style is he gets derivative work to tail off the loan closing by quarter end. And so your average balance of pickup next quarter as -- we are trying to get a lot of good closing at the end of the quarter, particularly at the Louisville market.
Jon Arfstrom - RBC Capital Markets: Okay, okay that makes sense. Then bigger picture for you, Bob, just a change in focus that you alluded to. I mean I think everybody is writing about it. And away from acquisitions and more towards organic, can you just talk a little bit about why is it investor feedback, you’ve accomplished your goals...
Bob Jones: Jon, we never….
Jon Arfstrom - RBC Capital Markets: You guys missed Jim Ryan and you want him in the office again or what?
Bob Jones: Well, you just mind it right, Jim Ryan also runs our mortgage company. So his place is not exactly empty. I think it’s really about, as I said, we laid out a strategy and we knew the markets we want to be in. There isn’t a market at Louisville that I need or I’d like to be -- obviously you’d like to remodel a little. But I think it’s really fatigue at a lot of places, Jon. I think our board is looking for us to do better job of -- we lay our strategy to be a high performing bank. And I think we’ve got the right people, the right products. We are on the right track. But quite frankly, our numbers have been, okay, and we are better than, okay. And I think that to get to that level, we have got to focus on execution. I think the management changes we have made, allow us to get better externally focused and I look forward to taking advantage of that. I may surprise everybody to phone us, some stage if we get the right opportunity in the right market, I would be a silly fool. I have to look at it. But I don’t feel, it gotten to my head to get there any particular market. And I think it’s really about leaving up to our own expectations, which is you don’t think that, we are mediocre. We think we are very, very good performing bank and we think we are on the right track and show people that that’s the case.
Jon Arfstrom - RBC Capital Markets: All right. Thank you.
Bob Jones: Thanks, Jon.
Operator: And your next question comes from the line of Eric Grubelich with Highlander Capital.
Bob Jones: Hi, Eric.
Eric Grubelich - Bank Investor: Hi. It’s Eric. I am no longer with Highlander Capital. So, please make that correction on the transcript. Thanks. It’s just.
Bob Jones: So who are you with?
Eric Grubelich - Bank Investor: Just myself now, bank investor.
Bob Jones: Okay. Great. We are glad to have you.
Eric Grubelich - Bank Investor: And I own you stock, Bob. So, but anyway, my -- I just had a similar question on the M&A outlook that was answered? But maybe you or Jim Sandgren can. Could you just talk a little bit about the loan growth outlook? I know there is some detail on the slide, certainly, the period and balances on the core basis? But, we looking -- going forward, mid-to-high single digits and could you put a little bit of color on the type of growth that came in the quarter on a core basis and where you see that going from a, say, commercial and consumer perspective. There was a comment that was made about, I think, Northern Indiana had some good consumer growth, is that something, new or what?
Bob Jones: Yeah. Let me, I’ll answer that and then Jim will cover the rest, Eric. One, we are glad to have you on the call. But two, if you remember when we bought the Northern Indiana, Kalamazoo, Michigan branches from BofA, we’ve bought just deposit. So, we have been able to re-hire the great team under Phil Harbert and Jim Barnum in our Kalamazoo market on the commercial side. They got $30 million pipeline and just a lot of that back. We had very good success in the indirect business in those markets with very high FICO scores, but we have found a niche where the dealers really like to deal with local folks, and Phil and his team are very well-respected in those markets. So it worked out very well. So it’s a great example of taking a deposit franchise and turning into a lending function as well. Jim, can cover the balance of that question.
Jim Sandgren: Yeah. So, Eric, on the commercial front in the third quarter, we saw nice mix of loans growth from a C&I perspective, I think, we had some manufacturing results, some opportunities with some very strong medical groups, ag opportunity, we did do some commercial real estate. So it was a nice mix. And I would expect to see that kind of mix going forward. I think, if you see the demographic of some of our business owners, there is a lot of opportunity for succession planning buyouts. We did have a major transaction that provided a nice loan opportunity for us. So, that’s the kind of sense that I get and I think will continue going forward. And then, the expectations for next year, yeah, no one is talking double-digit growth, but we are talking about the single-digit. I think, where we are looking at is, though, is the growth market that Bob alluded to and when I think about that is Indianapolis move over, we’ve had some really nice growth, but certainly a lot of opportunity for additional market share and then we will think Fort Wayne, Michigan markets, and then we absolutely are expecting greater things out of those growth market. So the expectations, the bar has been set and now it just comes out execution and I think, we have got the right folks to get the job done.
Bob Jones: Eric, I’ll add to Jim’s comment is that, we really are seeing a very positive reaction from client on the economic as opposed to kind of what you read in media and for us that, again, the markets we are in that bodes pretty positive next year.
Eric Grubelich - Bank Investor: Okay. Great. Thanks for taking a non-sale side question.
Bob Jones: Well, okay, Eric, we are always glad to talk to you.
Eric Grubelich - Bank Investor: All right. Thanks. Have a good afternoon.
Bob Jones: Thank you.
Operator: And at this time, there are no further questions.
Bob Jones: Well, great, as always, any follow-up questions, 1 (800), Lynell. We appreciate everybody’s time and attention and again, thank you so much.
Operator: This concludes Old National’s call. Once again a replay along with the presentation slides will be available for 12 months on the Investor Relations page of Old National's website, oldnational.com. A replay of the call will also be available dial -- be available by dialing 1 (855) 859-2056, conference code ID 19288537. This replay will be available through November the 10th. If anyone has any additional questions, please contact Lynell Walton at (812) 464-1366. Thank you for your participation on today's call.